Operator: Welcome and thank you for standing by.  This call is being recorded. If you object, you may disconnect at this time. May I introduce your speaker for today, Kate, at Emmis. Please go ahead.
Kate Healey Snedeker: Hi, Louis. Thank you. Good morning, everyone, and thank you for joining us for today's Emmis Communications conference call regarding fourth quarter and full year earnings. I want to extend a special welcome to all the Emmis employees joining us and listening in. We'll begin in just a moment with opening comments from Emmis' Chairman and CEO, Jeff Smulyan; and Ryan Hornaday, EVP, CFO and Treasurer. After opening comments from Jeff and Ryan, we'll respond to the questions that have been submitted via e-mail to ir@emmis.com. A playback of the call will be available for the next week by dialing (402) 998-0859. This conference call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Please refer to Emmis' public filings with the SEC for more information on the various risks and uncertainties. Additional disclosure related to non-GAAP financial measures has been posted under the Investors tab of our website, emmis.com. Jeff, we're ready to begin.
Jeff Smulyan: Okay. Thanks. That was so long. I was wondering whether you're picked up as -- there's a new show on Netflix, Earnings Calls. Seriously, thanks, Kate. Thanks to everybody who's on the call today. This is a usual year-end call where we're looking back at the fourth quarter, which ended in February. But really since we have almost all of our first quarter on the books, we usually end up talking more about that. Our fourth quarter wasn't great. We were down a bit, a little bit behind our markets. I think a lot of that was a hiccup following our third quarter last year, which was political and which was very, very good. But what we're seeing is that really good growth is coming now in our first quarter, which is coming to an end at the end of May. May is -- the quarter is pacing up 5%. March was up 1.5%. April was up 11%. May's up 3%. And Q2 looks even better. We're seeing some wonderful numbers in Q2. So we really think that, especially with the uptick in New York, HOT 97 Summer Jam, which we had a tough year last year, it is pacing way above last year. It will be June 2, and ticket sales are well ahead as of last year as well as sponsorship. And pacings indicate the core advertising trends per station. So really -- and not only accelerated very nicely in Q1 but are accelerating further into Q2. One of the reasons is ratings for our stations have been very good. We've grown our station's rating against our market for 7 consecutive months. That obviously fuels a lot of our growth. One new thing we've done in the quarter, we've launched our  format in Austin, a soft AC format, Star 93, and it's off to a very, very fast start. It's been a very encouraging launch there. Digonex, our dynamic pricing business, continues to grow its client base. We really like that business. We think it is a business that's forward looking. As time goes by, more and more people realize that dynamic pricing is the answer and we've got a great team. And the thing I like most about it is they get great results for their clients and more clients come in the door every day. We're also having a nice year again at Indianapolis Monthly. April 12, we closed our refinancing. Ryan will talk to you more about it, but we repaid all of our amounts remaining under our prior credit facility. I am very pleased to say that almost all of our indebtedness is a mortgage on our building and our land and that is a major departure. We really are now in the end stages of restructuring this company. We've noted that in the past 12 years, we paid off over $1.3 billion of debt. We think that's a remarkable achievement. And we are now in the end stages. Obviously, balance sheet has been fixed. We are now going to begin transitioning the company with a solid balance sheet and financial wherewithal to really enter some new areas. We think this is going to be an exciting time for our company. We made a conscious decision a while ago that we would move in new areas. Those things will be revealed. And we think that this fiscal year 2020 reveal a new Emmis, and I couldn't be more excited. To all of our people who have gone through these times, we really made it through with a balance sheet which allows us to go forward, and I'm very proud of that. So with that, Ryan?
Ryan Hornaday: Thanks, Jeff, and good morning, everyone. This morning, we're released earnings for our fourth fiscal quarter and full year ended February 28, 2019, which is our fiscal 2019. During fiscal 2018, we had sold our radio station in Los Angeles. During fiscal 2019, we sold our 4 radio stations in St. Louis. These sales caused our current period reported results to not be comparable with prior year results. We encourage those on the call to refer to the supplemental financial information we have posted under the Investors tab of our website, www.emmis.com. Pro forma for these asset divestitures, our radio revenues, as reported to Miller Kaplan, which excludes certain barter and other revenue, were down 4% in Q4, while our markets collectively were up 3% in the quarter. For the year ended February 28, 2019, our radio revenues, as reported to Miller Kaplan, were down 2%, and our markets were down 1%. We experienced a slowdown in our business from mid-January to mid-February. However, recently, we have seen a noticeable acceleration in our radio revenues. We expect pro forma radio revenues in Q1 of fiscal 2020 to be up mid-single digits. March radio revenues were up low single digits and April was up double digits. May is currently pacing up 3%. While it is early, our fiscal Q2, 3 and 4 are all pacing solidly positive. Health care was our largest category in Q4, representing 10% of our revenues. It was also one of our strongest categories, along with financial and retail. Cellular, entertainment and restaurants were the weakest of our top 10 categories. Pro forma for the sale of our stations in Los Angeles and St. Louis, radio station operating expenses, excluding depreciation and amortization, were down 4% in Q4 and flat for the full fiscal year. On April 12, 2019, we completed the refinancing of our credit facility debt. Our new secured debt consists of 3 instruments: a $23 million mortgage secured by our corporate headquarters building and land on the northwest side of Indianapolis; the second piece is a $12 million revolver, principally secured by our accounts receivable in New York and Indianapolis; and the third piece is a $4 million term loan secured by our 50.1% controlling interest in a partnership that operates 6 radio stations in Austin. This new financing also provides capacity to pay the remaining $7 million of estimated tax obligations related to the sale of our 4 radio stations in St. Louis last year. As a result of this refinancing, our weighted average cost of capital for our secured debt decreased from 10.5% to 5.8%. We believe this refinancing, when combined with the scaling down of NextRadio in the fall of 2018, meaningfully improved the credit profile of Emmis. By eliminating the losses of NextRadio and lowering our cost of capital through the refinancing, Emmis has reduced its annual cash expenses by nearly $10 million. Finally, during Q4, we invested $0.3 million in capital expenditures, bringing total investment for the fiscal year to $0.5 million. We expect $0.5 million of annual capital expenditures to be our run rate going forward. With that, Jeff, we have some questions submitted in advance of the call. There's a lot of buzz around a resurgence of advertiser interest in audio. What do you attribute that to?
A - Jeff Smulyan: Well, I think audio has been unloved for a long time. I think everybody's sort of focused on some of the digital stuff. Clearly, the growth of the streaming services, clearly, the growth of the smart speakers, all of those things plus I think the recognition that radio still reaches a lot of people, still has impact on people's lives, still makes a difference in communities, I think all those things are leading people to realize that the pendulum shifting a little bit back toward radio which obviously the industry deserves and I'm very excited about.
Ryan Hornaday: As your radio competitors have mostly gotten bigger and 2 of the largest operators have emerged from bankruptcy with significantly less debt, do you have any concerns about Emmis' ability to compete in the changing radio environment?
Jeff Smulyan: No, I really don't. We -- obviously, we've done some things and we will do more things to address where we go in the future. But we've always been able to compete. We operated most of our stations as stand-alones for years and years against mega competitors. One thing that I'm proudest of at this company is whatever hand we have to play, we'll play it well. And that's a tribute to a lot of the people in this company. As an old Mary Chapin Carpenter line, from a song, cut the deck from either side and I'll -- cut the deck and I'll play either side. However the deck is cut, our people will find a way to be.
Ryan Hornaday: As noted in the Indianapolis Business Journal this morning, Star Financial Bank had signed a long-term lease for the space in our building previously occupied by our magazine, Indianapolis Monthly. Do you want to elaborate on why Emmis entered into the lease with Star Financial?
Jeff Smulyan: Well, it made sense. With the changing at NextRadio and some of the downsizing, we had extra space in the building. Star approached us and said, "We'd like to lease space. We'd also like to be your bank and do a mortgage with you." It's been a wonderful relationship. We just felt that we had extra space and by rationalizing our space and moving our magazine people to one of our floors, we could open that up for Star. They really want the office space on the circle. So it's been a very, very good relationship. One thing we're excited about, when we built the building, we said, gosh, one of the big things is we will have air rights over our garage to develop. If somebody told me 20 years ago this company wouldn't have developed that land by now, I would have said no. But the radio industry, the broadcasting business, it's changed dramatically in those 20 years. But as we look forward to some new ventures, that -- developing that space, they made some sense.
Ryan Hornaday: Any update on the land sale in Indianapolis or any other potential asset sales?
Jeff Smulyan: No. I think nothing's ever over until it's over. I would say stay tuned, that there will probably be a lot for this company to announce in the next few months. But nothing's done in those areas yet, but there will be a lot. This will be a year that should redefine what this company is all about.
Ryan Hornaday: The last question, you touched on it in your opening comments, that Emmis has fixed its balance sheet with a long-term debt structure in place. Anything further on kind of what's next for the company?
Jeff Smulyan: Not only that there will be next. I think we've got a team that -- as I've said over and over again, I think that our team is very, very adept at performing. We're going to probably tap with some areas where we think growth might be at a more dynamic rate than what we've been doing. One of the challenges of operating in the radio space, and it's no secret, is for a number of years, it's like pushing water uphill. I'd like to operate in some areas where our people can push water downhill and see how they perform. And I -- and we'll get that chance this year.
Ryan Hornaday: Great. That's all we have in terms of questions. Any closing remarks, Jeff?
Jeff Smulyan: No, thanks. This has been -- as we've said, we're now sort of at the end of an era where we've paid well over $1 billion of debt and where we are now setting up the stage to transition into some new areas. And we can't announce what they are yet. We're not sure what all of them are yet. But we think it will be -- lead to a renaissance of what this company does. And I think that, however it does that it will do it well because it's always attracted great people.
Kate Healey Snedeker: Thanks, Jeff and Ryan, and thank you for joining us. Just a reminder, playback of the call will be available for the next week, and that phone number is (402) 998-0859. Thank you.
Operator: Thank you. That concludes today's conference. Thank you for your participation. You may now disconnect.